Operator: Good day, everyone, and welcome to the Diebold Nixdorf First Quarter 2017 Financial Results Conference Call. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Steve Virostek, Vice President of Investor Relations. Please go ahead, sir.
Stephen A. Virostek - Diebold Nixdorf, Inc.: Thank you, Maraya, and welcome to Diebold Nixdorf's first quarter earnings call for 2017. Joining me today are Andy Mattes, President and CEO; and Chris Chapman, Senior Vice President and Chief Financial Officer. Per our custom, this webcast is being recorded and a replay will be made available later this afternoon. For your benefit, we've posted presentation slides to accompany our discussion on the Investor Relations page of dieboldnixdorf.com. Slide two is a reminder that we'll be referencing certain non-GAAP and pro forma financial information, which we believe are helpful indicators of the company's performance. We've reconciled these metrics to their respective and most directly comparable GAAP metrics in our supplemental schedules on both our earnings release and in the back of the slides. On slide three, we remind everyone that certain comments may be characterized as forward-looking statements and that there are a number of factors that could cause actual results to differ materially from these statements. You may find additional information on these factors in the company's SEC filings, including our 10-Q, which was filed this morning. As usual, this forward-looking information is current as of today, and subsequent events may render this information out of date. And with that, I will hand the call over to Andy.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Thanks, Steve, and good morning, everyone. During the first quarter, our company completed the transition to Diebold Nixdorf. We've finalized the domination agreement and fully implemented the line of business structure, as evidenced by our new reporting segment, which you can read about in the 10-Q filed this morning. Now we are ramping up our long-term transformation activities with the launch of our DN2020 program, which we announced at our Investor Day in February. I am pleased to report that we're off to a good start. From a market perspective, we're seeing continued strength in retail and we're beginning to see banking order activity pick up. These trends drove systems order growth of more than 30% sequentially in constant currency with double-digit gains in banking and retail across EMEA and Asia Pac. We had a positive book-to-bill ratio in the quarter for the company as well as each of the regions. First quarter orders drove our backlog up around 5% sequentially, adjusting for currency. Branch automation, contactless cash and recycling are driving much of the order activity from our banking customers. A good example is Banco Santander, which selected us to provide more than 1,200 advanced ATMs and recycling units in support of their digital banking strategy. In total, Diebold Nixdorf sold more than 5,000 recycling units during the quarter to different financial institutions in 10 countries. The primary motivation of the bank is improved operating efficiency. Financial institutions who adopt recycling technology typically experience reductions in the order of 35% for cash replenishment costs. And Diebold Nixdorf is the only western supplier with its own recycling IP, giving us a competitive advantage going forward as this market continues to expand. Additionally, orders are benefiting from continued customer investments in anti-fraud measures. One of our national accounts in the U.S. is enhancing their entire fleet of ATMs with our anti-skimming card readers. Industry experts indicate that skimming costs financial institutions approximately $2 billion globally per annum. Additionally, we stand ready to assist our customers with software security improvements. We're also the first manufacturer to ship Windows 10 compatible ATMs, which enable greater security against modern cyber threats while enhancing the consumer experience. Our retail customers are investing in a better in-store experience. We continue to build on our market leadership position in Europe. As an example, our retail team signed an agreement to supply and service more than 1,000 new self-checkout systems with COOP, a leading grocer in Switzerland. We also booked a $30 million win with one of the largest European grocery chains for more than 1,600 point-of-sale systems in two countries. The more interesting news is that we are enabling this very same client to expand to the United States with another 900 sales checkout and e-POS units. In Brazil, we won a contract for self-checkout terminals, related maintenance services, and software for one of our multi-national customers. These wins are encouraging, as they demonstrate our ability to leverage our superior field service capabilities to expand our retail market presence with customers in the Americas. In our services business, we experienced a modest decline in revenue during the first quarter when compared to pro forma revenue from the year-ago period. This is related to lower installation revenue, the run-off of three contracts for niche offerings in Europe, and a reduction in contract volume at one large account in the U.S. For the second half of 2017, we expect stronger installation and maintenance services from recent contract wins will drive service revenue growth. One of these wins was a new multi-million dollar contract to service 8,000 ATMs with the largest private bank in Brazil. Long-term, the company's recurring services revenue will be aided by renewing our two largest outsourcing contracts, including a five-year deal with TD Bank and a seven-year deal with Hamburger Sparkasse, the largest savings bank in Germany. These agreements are the largest respective contracts from each legacy company and represent a total contract value of nearly $400 million. In my view, our new company has passed a litmus test with these large customers, demonstrating that our teams have truly come together and that the market recognizes the value of our solutions. The duration of these extended partnerships also affirm the importance our customers place on the long tail of cash and our ability to help them manage it. From a software business perspective, we delivered 6% constant currency growth in pro forma revenue year-over-year and 11% sequential growth in orders. We are experiencing encouraging customer demand from both industries, including multi-vendor and remote monitoring software, as well as the accompanying professional services. The partnership with Ziraat Bank, the largest financial institution in Turkey, is a good example of delivering remote monitoring software and innovative user experiences across all of its channels. One of the highlights in the U.S. was the renewal of our software licensing agreement to continue providing a single payment platform to about 14,000 gas stations across the country. Taking a look at the wins in the quarter, you can see that our sales engine is gearing up again following the break-in period of our new company in the second half of last year. We are leading the discussion with customers seeking advanced connected commerce solutions. But what you can also see is that most of these wins are larger, more complex projects, which are impacting the revenue conversion cycle within our industry. For the near-term, the general rule of thumb in our business is roughly a six-month contract to revenue conversion cycle, with larger projects taking longer. Applying this rule, our Q1 revenue reflects the mixed orders we had in Q3. In Q2, we expect our revenue will be flattish on a sequential basis, reflecting the weak orders from Q4. Looking at the second half of the year, we expect our solid Q1 orders will lead to revenue growth. With respect to our DN2020 transformation program, the company is off to a good start under the leadership of our new COO, Jürgen Wunram. Let me provide some tangible examples of our activities. We announced plans to close our manufacturing plant in Hungary. The company has also received all necessary approvals to wind down the legacy Diebold distribution center in the Netherlands. And in April, the whole company transitioned to Salesforce.com, which allows us to better manage our sales teams and processes in a consistent fashion. Additionally, this platform gives us greater ability to target margin accretive deals. We are focused on simplifying our setup and have initiated the process to streamline 250 legal entities, which is a key step towards realizing synergies from back office consolidation and shared services integration. Looking at our facility footprint, we reduced our real estate holdings by closing 16 offices. We also reduced the total number of redundant service part locations by about 15% globally. We're also streamlining the work force and will have eliminated about 500 redundant positions globally through the summer. Turning to our leadership team, we continue to skill up. We made two significant hires during the quarter; a new Chief Information Officer, Murat Ekinci, who has a solid background in the IT services industry; and a new Chief Procurement Officer, Gorad Vrbica, who has substantial experience both as a consultant with AlixPartners and an executive with Volkswagen. During our next earnings call, you will hear a more detailed update on our DN2020 transformation program from Jürgen. I am encouraged by the early progress and our ability to coordinate numerous intersecting activities. This gives us confidence that we should be able to exceed our cost synergy targets for the year. Innovation is a core component of our connected commerce strategy, and retail is one of the more progressive environments in consumer trends. As such, many of our new innovations are in that space. For example, our company introduced a hybrid retail checkout solution, EASY eXpress, which has the versatility of being used as a self-service terminal or as a traditional cashier assisted terminal depending on customer demand. A new kiosk solution designed to further digitalize the in-store consumer experience, an attractively priced, entry-level back office cash management solution, and we're demonstrating leadership in miniaturization through our Extreme self-checkout concept. The width of this counter – terminal is 1.5 times the size of a dollar bill, making it the smallest self-checkout terminal in the world. We also introduced a miniaturized ATM named Essence, which features an intuitive multi-touch GUI with a sleek exterior design similar to what consumers have come to expect from smartphones and tablets. Turning to our outlook for the year, we see our revenue for 2017 coming in around $5 billion as a result of new large projects wins and the projected conversion rate of our current book of business. Our continued focus on cost reductions allows us to maintain our profitability and free cash flow targets. And with that, I will hand the call over to Chris for his comments.
Christopher A. Chapman - Diebold Nixdorf, Inc.: Thanks, Andy. And good morning, everyone. First quarter results were presented in our new segment format with the combined Diebold Nixdorf operations. As Andy mentioned, our presentation of first quarter 2017 results includes our new lines of business; services, systems and software. In addition, we are providing select pro forma information for the year-ago period to help facilitate more meaningful comparisons. Please keep in mind that the pro forma financials are illustrative but are definitive due to certain differences in how the legacy businesses were operated in the accounting treatment between the companies with only material changes addressed. As usual, my comments today will focus on our non-GAAP results from continuing operations, unless otherwise noted. Beginning on slide six, we compare total revenue for the first quarter of 2017 with pro forma revenue from the year-ago period. On a constant currency basis, revenue decreased 3% primarily due to our systems and services lines of business, which I will detail shortly. Looking at our mix of revenue for the quarter on a GAAP basis, services and software accounted for 62% of the business, while Systems accounted for 38%. Our geographic mix of revenue was 51% in EMEA, followed by 36% in the Americas and 13% in Asia-Pacific. With respect to our Solutions, banking accounted for 74% of total revenue, while retail was 26% of total company revenue. Moving to slide seven, we compare key non-GAAP profit metrics for the first quarter of 2017 with pro forma financials for the first quarter of 2016. The $34 million change in gross profit is primarily due to the systems and services business, which I will discuss in greater detail later in my comments. Operating expenses down $31 million, or 200 basis points as a percent of revenue, compared to pro forma 2016 results, with a large portion of this decrease attributable to the legacy cost reduction programs, in addition to the initial impact of the DN2020 program. Our operating profit of $42 million was down slightly year-on-year, as a reduction in operating expense did not fully offset the change in gross profit, with the operating margin for the quarter up 3.7%, basically flat. Our adjusted EBITDA of $75 million for the first quarter was down approximately $4 million versus pro forma adjusted EBITDA for the prior year, reflecting a lower operating profit performance as well as lower depreciation and amortization expense. For the next three slides, I will discuss the performance of our lines of business using non-GAAP revenue and gross margin. Now we'll make comparisons to the pro forma metrics from the prior-year period. Beginning with slide eight, you can see the services revenue decreased 3% in constant currency versus pro forma revenue from one year ago. This change is due to the run-off of three banking contracts in EMEA and a reduction in contract volume in the Americas, which Andy previously mentioned. The Service gross margin decline of 150 basis points year-over-year is a result of these effects, which were partially offset by mitigating cost actions. Moving to slide nine, total Systems revenue decreased 4% in constant currency to $424 million versus pro forma revenue from the year-ago period. The primary drivers of the year-on-year change were lower banking volume in EMEA as well as the completion of a large deposit automation project in the Americas in the first half of the prior year. This was partially offset by higher retail volume in EMEA with strong activity across the region. The change in Systems gross profit was primarily in banking solutions where we experienced unfavorable country mix in EMEA and lower volume in the Americas. If you were to look at our Systems margins in the new line of business reporting segment, we've seen an improvement of over 100 basis points on a sequential basis compared to the second half of 2016 resulting from our early focus on deal quality and procurement initiatives. Turning to slide 10, our software line of business delivered revenue of $110 million, increasing by 6% in constant currency when compared to prior-year pro forma revenue. Software growth was primarily due to higher volume in EMEA across both banking and retail. The gross margin increased to 36.1% primarily due to mix of projects and the increase in volume. Turning to slide 11, non-GAAP EPS was $0.08 for the quarter. The non-GAAP EPS excludes restructuring expense of $0.17 tied to the0 DN2020 activities and non-routine expense of $1.03. The non-routine expense consists of $0.55 from purchase price accounting adjustments, $0.25 from legal and acquisition-related expense, which is primarily due to the mark-to-market impact of the legacy Wincor Nixdorf AG stock options, integration expense of $0.17 as well as $0.06 of impairment and other non-routine expenses. The tax impact for restructuring and non-routine items, inclusive of allocation of discrete tax impacts, was $0.34. During the quarter, the non-GAAP effective tax rate came in at 33.1%. Moving on to slide 12, free cash use was approximately $79 million in the first quarter, reflecting a $36 million improvement on a year-over-year basis. This improvement was partially attributable to contributions from the Nixdorf acquisition, which includes the benefits of the annual service contract prepayments and better inventory management of the combined company, which more than offset higher interest expense payments and capital expenditures. On the right side of the slide, we provide highlights for liquidity and net debt position. As of March 31, we reported cash on hand of $568 million and gross debt of $1.8 billion, which leads to a net debt calculation of approximately $1.2 billion. From a leverage ratio perspective, if you were to calculate a pro forma trailing 12 months adjusted EBITDA, we remain at about three times net leverage. In April, we initiated a refinancing of our term loan B debt in order to benefit from more favorable rates. As part of this activity, we plan to borrow $250 million from our delayed draw term loan A facility, and we'll use those proceeds to pay down a U.S. dollar term loan B facility. In addition, we increased borrowings for the euro portion of term loan B to take further advantage of the interest rates. We anticipate that our new capital structure will be effective on May 9, and we expect to realize savings of approximately $5 million per quarter in interest expense. Also in May, as part of our continuous process to evaluate our portfolio of businesses, we reached agreement to divest our Electronic Security business in Mexico to Securitas AG for $5.5 million. Moving to our 2017 outlook on slide 13, as Andy previously highlighted, timing plays a key role. On the revenue side, based on the anticipated installation schedule for our current book of business, we see a shift of revenue towards the end of the year. As such, we are updating our revenue outlook to approximately $5 billion. This is inclusive of an approximate 2% currency headwind. The company expects a net loss of $50 million to $75 million on a GAAP basis for the year, which is increased from our prior guidance primarily due to the higher expense for the outstanding options of Nixdorf AG shares. We are maintaining our outlook for adjusted EBITDA at a range of $440 million to $470 million for the year. This reflects our confidence in exceeding our $40 million cost synergy benefit from our DN2020 program for the year, which will offset the change in revenue. Our outlook includes depreciation and amortization expense of approximately $110 million and share-based compensation of approximately $30 million. On a non-GAAP basis, we continue to expect EPS of $1.40 to $1.70 and a non-GAAP effective tax rate of approximately 30% for the year. Taking into account our first quarter results, our current scheduled backlog, and cost synergies ramp-up later in the year, we continue to see about one-third of our adjusted EBITDA to be realized in the first half of 2017 and two-thirds in the second half. On the EPS basis, we expect to realize approximately 20% in the first half of the year, which is reflecting the lower interest expense in the second half of the year and the foreign exchange loss experienced in the first quarter. Our free cash flow outlook for the year remains greater than $50 million, including $100 million of integration and restructuring costs, as well as $100 million for capital expenditures. With that, I will open up the call for questions.
Operator: Thank you. We'll take our first question from Matt Summerville with Alembic Global Advisors.
Matt J. Summerville - Alembic Global Advisors LLC: Thanks. A couple of questions. First, if I heard you right, you anticipate very strong orders in the first half of the year. You saw that in Q1. Interest expense is going to be lower for the full year, I think, relative to how you were thinking about it before, and it sounds like you're comfortable that your synergy targets are going to exceed – I believe your guidance was around $40 million – so that expectation. So when I line that up, I guess, why are we not seeing the low end of your guidance come up or perhaps even guidance raised? If you could close the loop on all that, that would be helpful.
Christopher A. Chapman - Diebold Nixdorf, Inc.: Yes. Thanks for the question, Matt. First starting with the adjusted EBITDA, obviously the change in interest expense is not going to impact that overall calculation. And what we've talked about with the change in revenue coming down, we see the costs offsetting. So the overall pieces there from an adjusted EBITDA stay aligned. When we look at the overall interest expense benefit, keep in mind that we're not going to see the full benefit of this in the second quarter. It's going to be more – we'll get a half quarter of benefit and we get the full impact really in Q3 and Q4. In addition to that, we do have some items that are going against us below the line. You see in Q1 we probably had about a $0.03 to $0.04 headwind that's offsetting a portion of the interest expense just on the translation effect, and we have a couple of other items that are going on below the line. So I did not feel it was prudent to just push all of that benefit through the EPS at this time. Obviously, we'll see how things go later in the year, but that's our current outlook right now.
Matt J. Summerville - Alembic Global Advisors LLC: And then as a follow-up, if you can speak a little bit more directly to what you're seeing in your North American banking business, perhaps delineating between the small and big bank market and maybe what customers are saying about spend plans in context of policy change or lack thereof. Thank you.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Matt, at this point in time, from order book and pipeline, it's still a big boy's game. The larger banks continue to invest and do so very deliberately. What we do see is across a broader universe, more emphasis on software, as people are truly declaring the ATM channel as a very important route to market, and everybody wants to have their own unique approach to how do you address your customers, and needless to say, you need a lot of good software to do so. Other than that, we're getting positive vibes from the regional banks, but so far there have not been any concrete policy changes. Hence people are waiting to see what's coming down the pipe. But should we see some easing on the Dodd-Frank environment, that would definitely be considered a positive indicator by the regional banks. Also, if I talk to the CEOs of the regional banks, the community banks that had an opportunity to meet with the President, they came away pretty constructive from that meeting, but it's still a little bit of a wait-and-see attitude what's coming out of Washington.
Matt J. Summerville - Alembic Global Advisors LLC: Thanks, guys.
Operator: And we'll take our next question from Paul Coster with JPMorgan.
Paul Coster - JPMorgan Securities LLC: Andy, you noted that the big banks are kind of really fully committed to the branch transformation projects. In that context, I don't really understand why the hardware sales would be back-end loaded. You'd expect sort of a slightly smoother deployment schedule. What am I missing here?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Paul, it's just the rollout of the deals. If you take a look at all the deals that we also mentioned in our release this morning, I mean, these are all 1,000 machine plus deals, and they just have their individual set of logics on when the banks are willing to roll out a project. In many cases, depending on factors completely outside of our control, and quite honestly, our market, if there's like branch reconfiguration or something included in that. Having said that, it is a – the industry is shifting towards a big project industry. And I think we've mentioned that on earlier calls. The rip-and-replacement market has pretty much ceased to exist. Anytime somebody looks at upgrading a machine, people look at going to the next generation, people are looking to go for connected commerce, and that turns into a bigger project, which extends sales cycles, and it also makes the rollout cycles a little bit more prolongated.
Paul Coster - JPMorgan Securities LLC: The software business grew, which is good, and it's material. $110 million in revenue this quarter. Can you segment it at all that which is attached versus unattached and what goes into each segment?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Let me just give you a little bit of an example of where we see momentum building, and then I'll let Chris give you the break-down on the revenue. If I just look back, it's about two years ago that we acquired Phoenix. And between then and today, we've added about two dozens of regional banks in the U.S. alone to our portfolio, and we needed some of the certifications with the large providers. Those are coming in. So we were building our backlog continuously, and you'll start to see that being rolled out. So, good news is we see software activity in the regional banking space, we see software activity in the large banking space, and as banks are moving towards contactless cash, we see upgrade opportunities in the software universe. So it's across all segments, it's across all geographies, and it's predominantly a North America and EMEA play.
Paul Coster - JPMorgan Securities LLC: Okay.
Christopher A. Chapman - Diebold Nixdorf, Inc.: And if you think about it just from an allocation between what's license and maintenance versus the professional service, you have to bear with us a little bit, we're still getting all of our detailed reporting in place on that. So I don't feel comfortable giving exact numbers. But I would say we still have a higher portion of this at the professional service level, call it maybe a one-third, two-third between what's professional services versus what's the license and maintenance on a recurring basis, which is in line with what we talked about back in February at our Investor Day event.
Paul Coster - JPMorgan Securities LLC: All right. Okay. Thank you very much.
Operator: And we'll take our next question from Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research Partners LLC: Hey, good morning, Andy and Chris.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Morning.
Kartik Mehta - Northcoast Research Partners LLC: Andy, at the end of last year, you had talked about some issues in EMEA because you were trying to get both the organizations integrated, and that resulted in some market share losses. As you sit today, how do you think you're positioned there, and kind of what's happened in the marketplace that would give you confidence that that trend has stopped?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Kartik, thanks for connecting last quarter to this quarter. Look, Q4 was weak. We had homegrown issues in Europe, including the fact we still had people on different comp plans. We didn't have a common management tool. If you take a look at our growth and our book-to-bill ratio in EMEA, as I said in my prepared remarks, that EMEA had double-digit gains both in banking and retail. So, feel very encouraged, and if I see the customer's feedback and if I see the conversations that we're being invited to, lot of positive momentum. And it's not just one country, it's across a whole bunch of countries where the activity is going strong. You saw our press release about recycling in Russia, which was a huge step forward. You can also see recycling. It was a technology that started in Asia. It's now literally moving east. Starting in Eastern Europe, coming to Western Europe, eventually it'll hit the Americas. So, lot of positive momentum, lot of positive customer feedback. And if I may just take a look at the retail side, if you recall, last year was legacy Nixdorf's probably best year in retail and we're topping those order numbers from where we were a year ago. So, again, lot of momentum building out our leadership position in that market and especially driven by opportunities in the skill market.
Kartik Mehta - Northcoast Research Partners LLC: And then, Andy, if you look at the retail environment in Europe, obviously in the U.S., a lot of pressure for brick-and-mortar retailers from online retailers. As you look in Europe, how do you think your position there and what kind of pressures is the industry witnessing there, if any, from the online world?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Online is a big topic. But let me put that in – just in context for you. I saw a number the other day that if you take a look at all the purchases in retail, including the U.S., 94% of all the retail sales in the world are done through brick-and-mortar. So it's – again, it's one of those rising phenomena versus what you have installed. Having said that, every retailer has to get their arms around a connective commerce strategy. You want to combine your in-store experience with your online experience, with your loyalty programs, with your return program. And that spells opportunity for software. That spells opportunity for our managed services. Our store lifecycle management is probably one of the hottest offerings that we have as a company. And I was with a large retailer in Europe a few weeks back where we talked exactly about that, where they're basically saying, listen, why don't you guys take over the management of the complete branch? And these are pretty sophisticated lifecycles. We actually set up a whole demo branch with them to see how would it work, can we do it, would they feel comfortable outsourcing it to us. So, very encouraging momentum along the value chain, and feel pretty excited about the opportunity in retail.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much. Appreciate it.
Operator: And we'll take our next question from Jeff Kessler with Imperial Capital.
Jeffrey Ted Kessler - Imperial Capital LLC: Yes. Can you describe the – you're talking about the backlog of projects lengthening, becoming more complex. Can you describe a little more, in a little more detail, what that entails? In other words, what are the aspects that are being added on to what were traditional legacy projects? Is there more – as you've mentioned, is there more cash recycling being added? Is there more bank branch transformation services that may not be full branch transformation services but the beginnings of so being added to so that the banks can move on as they move forward? What are the things that are adding to margin? What are the things that are subtracting from margin as this order flow begins to go through your year and into next year?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Well, I think you've hit on all of them really. Let me start with – biggest drivers, as I said, are recycling as well as contactless cash. So contactless cash is the combination of your mobile device through NFC with a machine. We have sent out quite a few press releases about wins that we had in Europe. If you take a look at what's happening here in the U.S., all of the three largest banks in the country have made very bullish statements that they want to upgrade their complete infrastructure to a contactless environment by the end of the year. And that adds software. And when we talk connected commerce, keep in mind, the software universe is now starting to connect to many more back office software pipes, channels, towers, whatever you want to call them, than we used to do in the past. In the old days, all – quote-unquote, "all" we did was we put software on top of a machine to make the machine run and connected it with the ATM network. Today we start to connect it with the customer database. We start to connect it with the advertising database. We start to connect it with an asset management database. We start to connect it with an online banking database. We start to connect it with a mobile channel database. That's all good news because it actually drives professional services, it's very sticky, but it also just means a little bit more project management planning and we've got to team up with other partners. And one of the points we've also raised in previous calls is that this industry is turning to open APIs to more of the partner ecosystem that really starting to drive that more proactively, but it also means you have to coordinate more people to complete the overall project. So it just – it's good news, but it's driving complexity up and complexity drives time lines up. Simple as that.
Jeffrey Ted Kessler - Imperial Capital LLC: Have you been given any idea of how long – in other words, trying to project out an IRR for these new, more complex projects also involves customer loyalty and how long you believe you can now keep customers and keep that customer loving you, so to speak, for a longer period of time if you're going to invest more human beings into writing code and if you're going to invest to involve more partners that you're partnering up with and opening up, which opens you up to potential margin dislocation if, on the other hand, offset hopefully by the value proposition you're presenting to your end users. What are the checks and balances there that you're considering?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Well, any time you look into software, the agreements are usually three year agreements, but in reality, people are usually very loyal software customers for five years plus. Most of our managed services agreements, as you can see also with the large two ones that we've renewed, are five-year or five-year-plus type of agreements. So I'd tell you realistically, we have at least a five-year horizon where customers would commit to a relationship with Diebold Nixdorf, and that's a good thing anyway you look at it, gives us an opportunity to upgrade, gives us an opportunity to sell into an existing base, gives us an opportunity to sell software upgrades, modify things, sell additional professional services. So everything is moving towards stickier, longer term relationships, which overall for the shape of the industry I think is a good thing. Now, everything I've said is predominantly a developed market play. You still have the – buying ATMs by the pound and reverse e-auction type of mentality in the Chinas of this world, and that's a different universe. But that's why we're so focused on Europe and the Americas at this point in time.
Jeffrey Ted Kessler - Imperial Capital LLC: Okay. Great. Thank you very much.
Operator: And we'll take our next question from Joan Tong with Sidoti & Company.
Joan K. Tong - Sidoti & Co. LLC: Good morning, guys. You guys talked about the sort of the conversions from backlog to revenue, was somehow stretched out last year, and then you talk about the same thing this quarter. I'm just wondering like if it is getting worse and – or is it just because the complexity of the deals – it's more this year versus last year? Because I specifically remember you talk about this similar – have similar comments like around this time last year in 2016.
Christopher A. Chapman - Diebold Nixdorf, Inc.: Yeah, Joan. It's much more the latter there. It's really about the complexity of the projects. And so when you see this activity in North America and Europe specifically, the complexity of the projects, this is not just a bundled – we go out and we install hardware and we have a break/fix service contract. This is hardware, software, new applications, bundling all of this together, which is a much longer project, in addition to the fact that some of these are quite large. As Andy said, these are pretty decent sized volumes. So this is not going out and installing 100 ATMs across a handful of locations. This is a much larger rollout. So it's a combination of items.
Joan K. Tong - Sidoti & Co. LLC: Okay.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: I'd say the industry in general is shifting. It's a trend that started last year and it keeps on going forward. And as I said, at the end of the day I think it's a good thing for the industry because it starts to be more meaningful just as you do your revenue comps until these things start to tail and to compare with similar environment, you'll see that a little offsetting the comps.
Joan K. Tong - Sidoti & Co. LLC: I see. Got it. And then for the software business, it's like a little bit over 10% of your total revenue. Just wondering if – looking at the capability like the software functions, just wondering is there any sort of area that you think that might be conducive to M&A activities going forward and that you can maybe fill in the holes a little bit faster and maybe offering a more comprehensive software type of offering for your client? Just want to get a sense of what you're thinking about potential M&A just to beef up that piece a little bit more. Obviously, it's a very attractive revenue business on a margin standpoint.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Joan, you hit the nail on the head here. When you take a look at where do we want to generate IP, it's in the software space. And whenever we do something there, we undergo a very normal review process of make, buy or partner. And we will probably come up with a tick in every one of those boxes as we look at the next 18 months going forward. Also, if you take a look at our universe, the number that I saw the other day is that there are approximately 20,000 startups in the fin tech industry. That's probably reasonable to assume that not all of them will turn into a commercial success, but that doesn't mean that there isn't attractive IP that we want to guzzle up while it's available at very opportunistic prices. So we have a very clear radar of what's happening in the market. We're very committed to investing into the software space, organically as well as inorganically, and we'll keep you posted as things progress further.
Joan K. Tong - Sidoti & Co. LLC: Okay. And then finally, can you give us an update on the pending litigations with Hyosung? I think there was still one or two of them we're waiting for some sort of final conclusion there. Thank you.
Christopher A. Chapman - Diebold Nixdorf, Inc.: Yeah. That's still winding its way through the process. I think over the next – really in the next quarter, we'll have an opportunity to give a bigger update after we see how some of the things progress in the court system.
Joan K. Tong - Sidoti & Co. LLC: All right. Thank you, guys.
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Thanks, Joan.
Operator: And we'll take our next question from Paul Condra with Credit Suisse.
Paul Condra - Credit Suisse Securities (USA) LLC (Broker): Hey, thanks. Good morning, everybody. I just wanted to follow up on the retail business. I think you mentioned something about a new deal in the U.S. So, can you talk a little bit about progress on the U.S. side and maybe growth in terms of systems and software?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Paul, thanks. Look, the U.S. – not just the U.S., the Americas basically think of them as a near greenfield opportunity for us. So just about anything we do is upside. Now, the one thing is that we're saying, hey, we've got cooler technology and great service. The other thing is that people say we want proof. And I think we've talked about this earlier that our first port of call will be large multinational customers who are already working with in Europe, who know us, who know our technology, who trust us, who say, well, listen, now that you've got this great service offering, we'll give you also business as we expand into the U.S. And you saw that with the two deals that we've got; one in the U.S. as well as one in Brazil, where those large customers said fantastic, we now work with Diebold Nixdorf. I was actually with a customer in Europe when the Brazilian business was being decided, and the guy looked me straight in the face and said, Andy, you realize Nixdorf of old would have never gotten this deal irrespective of the fact that we like the software and the hardware. It's just we were super-worried about the technology support. So I'm encouraged about the early wins. You'll see more of our machines being rolled out in the Americas. Those will be proof points. And it's a little bit of, like, penguins off the iceberg. Once the first ones are in the water and they enjoy swimming in it, you'll see other ones follow.
Paul Condra - Credit Suisse Securities (USA) LLC (Broker): Can you – I mean, can you give us any expectation or numbers just in terms of how you think that might grow in the Americas over this year, or are you just not quite there yet?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: Hi, Paul, this is – this is early. As I said, a lot of people are looking at the pilots we're putting out there. I can tell you we're getting a lot of unsolicited requests. People are excited, especially also on the – in the SCO business, in the kiosk business that there is a new alterative in the market. And we'll take our chances and we'll keep you updated as we start winning deals.
Paul Condra - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. And then I just wanted to return to the kind of complexity of deals. I was just curious – to what extent is it you're beginning these conversations and maybe it's kind of a sales-driven up-sell of your capabilities versus really being client-driven that they want you to do things that maybe you weren't expecting kind of going into the negotiations? Can you just talk about that?
Andreas Walter Mattes - Diebold Nixdorf, Inc.: It's actually probably a third variety. And we see that especially in the MS Outsourcing conversations where you start the conversation with one side of the house, whether it's in banking or in retail, where they're saying you know what? Given the market pressure, we want to innovate the business model. Then they kick the tires with us every six-month project, and then they feel comfortable, but then they also have to sell the project inside of their own community because – especially larger banks are complicated animals. And then you've got the retail channel with the digital channel, with the CIO organization. And you've got to cross a lot of T's and dot a lot of I's until the customers are being lined up. And it's very exciting that we talk about omnichannel and connected commerce, but it also means on the customer side the number of people that you talk to gets bigger and that gets larger. So it's – as I said, I think ultimately it's a good thing. You'll just see things starting to move from the six-month rule of thumb maybe to nine or even 12-month in the rollout. And again, we'll keep you updated as things become more pronounced in our backlog conversion.
Paul Condra - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. Thanks for the responses. Thanks.
Operator: And this concludes today's question-and-answer session. Steve, at this time I will turn the conference back to you for any additional or closing remarks.
Stephen A. Virostek - Diebold Nixdorf, Inc.: Yeah. I just want to thank everybody for participating in the first quarter 2017 earnings call. If you have follow-up questions, please call us or email us. Thank you.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.